Operator: Good day, ladies and gentlemen. Welcome to the Q1 2016 Investor Call. I would now like to turn the meeting over to Miss Aurora Davidson. Please go ahead Miss Davidson.
Aurora Davidson: Thank you. Good morning, ladies and gentlemen, and welcome to the Q1 2016 investor conference call of Amerigo Resources Limited on Thursday, May 05, 2016. I'm Aurora Davidson, the Company's Executive Vice President and Chief Financial Officer. Before we begin our presentation, let me caution you that our comments and discussions will include forward-looking information within the meaning of applicable securities legislation. Such forward-looking information will include among other things forecasts and projections about our copper production for 2016, which involves known and unknown risks, uncertainties and other factors that may cause the actual results, performance or achievements to be materially different from such forecasts and projections. Therefore, although we believe that the anticipated future results, performance or achievements expressed or implied by the forward-looking information are based on reasonable assumptions and expectations. You should not place undue reliance on such forward-looking information. You should review our press release issued on May 4, 2016 and our other documents filed with the securities authorities in Canada, including our annual information form under the heading Description of the Business Risk Factors. These documents describes the material factors and assumptions that were applied in drawing the conclusions and making the forecasts and projections as reflected in the forward-looking information and the material factors that could cause our actual results, performance or achievements to differ materially. Except as required by law, we undertake no obligation to update or revise any forward-looking information made in this presentation. Now, I would like to introduce the Company's President and Chief Executive Officer, Rob Henderson.
Rob Henderson: Thank you, Aurora, and thank you everyone for joining the call. For the first quarter of 2016, the company posted revenue of $19.3 million and a net loss of $4.4 million. We generated cash of $1.4 million from operations and the Company’s cash balance increased to $11.8 million, up from $9 million at the end of last year. The Group’s recorded copper price for the quarter was $2.24 per pound compared to $2.68 per pound in Q1 2015 and we continue to be negatively impacted by low copper prices. In the first quarter MVC 12.9 million pounds of copper at a cash cost of $1.81 per pound. This quantity of copper is 45% higher than the 8.9 million pounds produced in Q1 2015 and included 6.7 million pounds from the historic Cauquenes deposit, 5.3 million pounds from fresh tailings, and 0.9 million pounds from Maricunga. I think that MVC has achieved a significant milestone and that they are now extracting more copper from the high grade historic tailings than from fresh tailing. This means that MVC are now in more control of both the quantity and the quality of tailings being compared to the plant. The ramp-up in production from Cauquenes has progressed pretty much in line with expectations, with tonnage at design rates of 60,000 tons per day and plant recovery improving to 33% at the end of March. The Cauquenes material extracted towards the end of Q1 with better quality with low oxide content and low fines. Construction of the new sump 1B is well underway and pumps are being assembled at a depth of approximately 30 meters below grade. Production from this sump is expected to start the end of May and then we should see a positive bump in Cauquenes grade and recovery. We believe the ramp up in production will continue into Q2, but I think that MVC has already demonstrated the potential of the historic Cauquenes tailings deposit this quarter and the Company is now set up for generating higher copper production and reduced unit operating costs well into the future. Our annual production guidance for 2016 remains at 55 million to 60 million pounds of copper at an annual cash cost of $1.65 to $1.85 per pound of copper. Capital expenditures will be significantly lower than the past and this year we expect to spend $5 million in sustaining CapEx primarily associated with building deeper extraction slumps at Cauquenes. We continue with our strong focus on operating cost management and MVC have done well to improve mill efficiency using new cyclone configurations and we are now using less energy and less steel grinding media. MVC have also confirmed that the labor union more supportive about for no signing bonus to be paid this year when the union contract is renewed in Q3. Our partner El Teniente has also been supportive and they have agreed to defer royalties for four months, March to June 2016, until we reach agreement on the new and lower royalty rate. Our key objective this year is to complete the Cauquenes ramp up program and to ensure MVC’s liquidity. We are in the process of being confirmatory studies for the second phase of the Cauquenes expansion, which could ultimately take us up to 90 million pounds per year with cash costs below $1.50. We are also looking at restarting the moly plant and we should have more information on these projects in Q4 of this year. We have made a substantial investment at MVC and I believe we are now well positioned in today’s challenging copper price environment. I will now hand you back to Aurora to discuss the Q1 financials.
Aurora Davidson: Thank you, Rob. Our results in Q1 2016 were positive in terms of production and costs, which are the two items that are under control at the company. Production increased 45% compared to Q1 2015, while direct production costs increased by only 7%. In fact the only direct cost that had a significant increase compared to Q1 2015 was power, which increased by $1.5 million equally from actual higher consumption as a result of stronger production and from the lower contribution from MVC’s generators, which only operate when the grid price exceeds the costs of operating the units. Grinding cost increased compared to Q1 2015 by only $300,000, again as a result of higher production. Other direct costs including labor, maintenance, reagents, all decreased in the aggregate compared to Q1 2015 despite a substantially higher production. MVC is producing more copper more efficiently and with a reduced workforce that understands the challenging industry environment and it’s responding accordingly. Unfortunately, the price of coppers continue to hover at low levels, particularly in January and February with average prices of $2.02 and $2.08 per pound respectively, although the average price per March improved to $2.24 per pound. Copper price is notwithstanding. The company’s quarterly results are on track with respect to both our annual outlook and our ability to repay financial obligations as they come due. As Rob mentioned, completing the Cauquenes ramp up program and ensuring liquidity are our key objective in 2016. Our Q1 quarterly cash cost of $1.81 per pound is the lowest since Q3 2010 and monthly cash cost behavior showed the right trend decreasing from $2.13 per pound in January to $1.68 per pound in March. On top of our cash cost, we need to factor in $0.085 for sustaining CapEx, $0.245 for debt service and approximately $0.40 for El Teniente’s royalties, which we expect will come down as a result of current discussions with our El Teniente. In 2016, we have access to up to $10 million from El Teniente, which are received by MVC at a rate of $1 million a month provided the average copper price remains below $2.08 per pound. In Q1 2016, MVC received the final disbursement from the $64.4 million Cauquenes expansion loan from BBVA and EDC and proceeded to make all outstanding payments on the Cauquenes Phase I expansion. As expected, the company received a value-added tax refund and allocated the funds to make a $3.4 million principal repayments and the value-added tax loan taken in connection with the Cauquenes expansion and which is due on June 30. Our next significant financing milestone is in June 30 when the first principal repayment on the Cauquenes expansion loan is due in the amount of $5.4 million plus debt service cost of approximately $1.8 million. All projections indicate that that payment will be made on schedule. This is the extent of my comments and we will now open the stage for questions.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] We have a question from Joseph Reagor from Newport Beach. Please go ahead.
Joseph Reagor: Good morning guys, a couple of questions here. I guess the first one being on – you guys provide a sustaining capital budget of $5 million, but there is still I guess some CapEx rolling over from the expansion that was about 2.8, I guess, in Q1. How much more of that is left for the rest of the year?
Aurora Davidson: No, the $5 million budget is for sustaining CapEx on 2016 incurred expenditures, which as Bob indicated mostly deeper sumps at Cauquenes. We had about $4 million of CapEx from Phase 1, which were incurred in last year and which were repaid or paid out to suppliers this year on receipt of our final disbursement, but we’re basically have paid out all of the Phase I expansion. And we are proceeding with our normal sustaining CapEx budget, which most of it will flows through in Q2 and Q3 of this year.
Joseph Reagor: Okay, so, net all together total CapEx including those paying outs is about $9 million for the year?
Aurora Davidson: It is, but…
Joseph Reagor: Okay.
Aurora Davidson: The additions are only going to be $5 million because $4 million were recorded…
Joseph Reagor: Yes.
Aurora Davidson: In 2015.
Joseph Reagor: Okay, I just want to get the cash flow model right.
Aurora Davidson: Yes.
Joseph Reagor: Then noticed during the quarter that debt increased slightly, should we expect you guys to continue the draw down a little bit or do you feel like you’re in a position now where you are going to start free cash flow in Q2?
Aurora Davidson: Our debt increase in Q1 was twofold. We had our final disbursement of $4.7 million and we drew $1 million a month, so $3 million from the El Teniente price support facility. We have $7 million more to draw from the facility in the remaining months of 2016 and we will draw them if copper prices remain below $2.80.
Joseph Reagor: Okay. And then one final one, just – I know you guys mentioned in the original production release that March grades and recoveries improved significantly. Can you give us a little color on how Q2 is going so far? Are those levels sustaining? Has there been any volatility to it? Or is it maybe even improved?
Rob Henderson: Yes, it continues to improve. And then we believe once we get the new sump in place at the end of May, we will see a noticeable bump, so we are projecting a gradual increase in the ramp up, so April was better than March and we expect May to be better than April. So we are seeing steady improvements in the quality of material coming out of Cauquenes.
Joseph Reagor: Okay, thank you. I will turn it over.
Operator: Thank you. [Operator Instructions] We have a question from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, yes. Good morning everybody. Just to point, you mentioned that the 33% recovery. Isn’t that a better recovery rate than you ever got from Colihues?
Rob Henderson: Hi, Steven. Yes, it is. It is. We did expect this because the Cauquenes tailings are quite a bit older than Colihues, so Cauquenes was put down in 1937 to 1977 and Colihues was 1977 to 1987. So Cauquenes is a couple of decades older than Colihues and I guess technology wasn’t as good back then. So there is more – much more copper in Cauquenes than there is in Colihues.
Unidentified Analyst: Okay. So just to go back to Colihues, there is too a lot of copper left in there. If the copper prices magically got to $4 or so a pound, would you go back to looking and process the Colihues ore?
Rob Henderson: We can, but I think what we’re going to carry on is focusing on Cauquenes. We do have a permit of maximum tonnage of 80,000 ton per day. So, I think, we go for the higher margin in Cauquenes and we’ve looked 20 years of Cauquenes ahead of us. So we would run down Cauquenes and then we would get back to Colihues.
Unidentified Analyst: Okay, that’s very well said. Now one other thing is what is the DET expansion support loan? What is the DET stands for?
Aurora Davidson: That stands for division El Teniente, so that’s basically the corporate organization for the El Teniente lines.
Unidentified Analyst: Okay, I wondered what that was. Okay. And you will be paying this payment due at the end June…
Aurora Davidson: We do.
Unidentified Analyst: Then how much you expect to payback in total for the whole of 2016?
Aurora Davidson: For the whole of 2016, we are expecting to make debt repayments of about $14 million.
Unidentified Analyst: How much?
Aurora Davidson: $14 million.
Unidentified Analyst: $14 million, okay.
Aurora Davidson: Our $64.4 million loan has a repayment term of six years, so of the $14 million, $10.7 million are principal and the rest is interest.
Unidentified Analyst: Okay, okay, thanks very much. That’s good.
Rob Henderson: Thank you.
Operator: Thank you. There are no further questions registered at this time. I would like to turn back the meeting over to Miss Davidson.
Aurora Davidson: Thank you. Well with no further questions, we will close our call and we look forward to speaking back with our investors at the end of Q2 2016.